Operator: Good day, ladies and gentlemen, and welcome to the Intellicheck Third Quarter 2021 Earnings Conference Call. [Operator Instructions]. At this time, it is my pleasure to turn the floor over to your host, Mr. Gar Jackson. Sir, the floor is yours.
Gar Jackson: Before we get started, I will take a few minutes to read the forward looking statement. Certain statements in this conference call constitute forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. When used in this conference call, words such as will, believe, expect, anticipate, encourage, and similar expressions as they relate to the company or its management, as well as assumptions made by and information currently available to the company's management, identify forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward looking statements are based on management's current expectations and beliefs about future events. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward looking statements, whether resulting from such changes, new information, subsequent events, or otherwise. Additional information concerning forward looking statements is contained under the headings of Safe Harbor statements and risk factors listed from time to time in the company's filings with the Securities and Exchange Commission. Statements made on today's call are as of today, November 10, 2021. Management will use the financial term adjusted EBITDA in today's call. Please refer to the company's press release issued this afternoon for further definition, reconciliation, and context for the use of this term. We will begin today's call with Bryan Lewis, Intellicheck's Chief Executive Officer, and then Bill White, Intellicheck's Chief Financial Officer, who will discuss the Q3 financial results. Following their prepared remarks, we will take questions from our analysts and institutional investors. Today's call will be limited to one hour, and I will now turn the call over to Bryan.
Bryan Lewis: Thank you, Gar, and thank you all for joining us today for our 2021 third quarter Intellicheck earnings call. We have started to see things open up, although there are still lingering COVID impacts to one component of our business. Year-over-year, we believe that more people will be shopping brick-and-mortar, which, of course, is positive. We recognized that due to savings rates and stimulus received during the pandemic, right now, shoppers are not necessarily buying on credit or more importantly, opening new credit card accounts. While we believe this will continue to impact us in the short term, we believe that as things start to return to pre-pandemic levels and people begin to spend in a normalized way, this will drive credit card applications and additional card not present transactions. I would also like to point out the distinction I made just a moment ago when I noted COVID-19's lingering impact to one component of our business. I have talked to many people who seem to think we are just a brick-and-mortar credit card business. Three years ago, that may have been the case, but we have been on a transformational path since I arrived. We have expanded our client base far beyond just credit cards into banking, call centers, gambling, cannabis, stadiums as well as the digital world, which continues to become an increasing portion of our business. This transformation continues with new technology and partnerships, I will be discussing shortly. Returning to customer shopping habits. We know that shoppers will continue to make in-store purchases, online pickup in-store purchases, they will make purchases online with delivery, they will make Buy Now Pay Later purchases. And yes, the holiday shopping season will likely see an increase in credit purchases. And what each of these behaviors have in common is the risk of fraud and identity theft, neither is going away. The data shows identity theft and fraud rates continue their upward trend at a record-setting pace. The breaches we continue to see and the enormous amount of personal information already available on the dark web, which suggests fraud is only to get worse and criminals will continue to see dollar signs when it comes to identity theft. Criminals continue to impersonate people with fake IDs created using the identities that they have purchased on the dark web, and we don't see this going away. Looking at the quarter, our Q3 SaaS revenue was up 32% over Q3 2020, and it was flat to Q2 2021, driven largely, we believe, to what I was discussing at the start of the call. We saw an interesting mix in transaction volumes among our clients. Department stores, particularly those predominantly selling apparel, were down 7% to 10% in transaction volumes during the quarter. While those retailers selling electronics, appliances and our banking clients were up almost the same amount. Interestingly, those same retailers that were down in the quarter had October volumes that were up 15% over September. Again this quarter, much of what we have been investing in and working on this year has been transforming the company to be more of a digital identity company rather than purely an ID validation company. As I said earlier, this transformation will allow us to move into many more markets and provide more services to our clients and prospects than purely ID validation. Any time you need to validate an identity, whether in a physical or digital setting, we believe our efficacy makes us the best and most vital first step, and therefore, the logical partner to get other risk signals from. We stopped the bad guys from getting in. But even if you are who you say you are, there is additional information we can provide through partnerships to help clients and prospects with their KYC or Know Your Customer obligations. We believe that this opens up opportunities for new verticals that need a much more in-depth identity check that goes beyond, is the ID authentic. We view this as incremental product offering with a large addressable market that includes fintech, gambling and other markets. Moving forward, there are developments on a few fronts that I want to share with you and bring you all up to speed. As usual, we are going to first going to look at some highlights with our existing clients and some new wins. We are also going to look at the changes we made to our pricing model and our new efforts on channel partner sales. I am also going to tell you about the reseller agreements we have entered into to expand the product set, we can offer our clients and the launch of our new Platform 2.0 that makes this all possible. First, the updates on our financial services clients. Financial services company #2 completed its project to provide applications and account lookups through a tablet instead of having to go through the point-of-sale system. This allows them to get their clients up and running and using our services much quicker. In addition, we are working with 2 new retailers with approximately 600 locations each, and they expect to be live in early Q2 for credit apps and account lookups. #2 is also very excited about their new business pipeline, and they tell us it should be a very good year for new clients using our services. Financial services company #3 has rolled out their pilot of their teller workstations. So far, all is going well, and they expect full deployment to their 720 branches in Q1 that continue to work with their home improvement clients to expand to their multiple point-of-sale systems. However, that requires some changes to the bank's internal systems, and that timing, it remains out of our control. Given the speed at which #3 moves, I would expect that to be second half of 2022 event. The good news is that they continue to be an excellent reference for us, both with industry analysts and prospects. It never hurts to have the STP of fraud tell prospects that he thinks we are one of the top 5 fraud fighting tools of all time. Financial services company, #4 is pushing to integrate our services into all of their retailers' digital channels. A big benefit of online is that it does not impact their point-of-sale system, so we can be working during the normal holiday code free. In addition, as they look to increase the use of our products in Canada, we are bringing live the ability to authenticate Canadian health cards. These are valid forms of ID for some provinces and have barcodes like the Canadian driver's licenses. Additionally, they are in the process of rolling out their mobile banking project that allows their clients to validate themselves on the bank's mobile app. This effectively adds a layer of security for both the bank and their client as the banks add more digital use cases. They estimate that 40% to 45% of their clients have the mobile app installed on their phones. In addition, you may remember from the last call that they prepaid for what they believed would be a year's worth of transactions. But at the current rate of consumption, it looks like they will draw that current allocation down by May. We anticipate that if the additional clients and use cases they plan on rolling out happen on time, more likely they will run out by Q2. I am also pleased to share with you that the latest development with the bank's consortium owned company we signed late in Q4 last year that helps financial firms detect and prevent fraud. They have agreed to be a beta client for our new Platform 2.0, which I will be discussing shortly. This will allow them to use our products more frequently in their call center, and their intention is then to roll our services out to their digital payments network. In addition, we now have a new financial services client. We signed a master services agreement with a California-based provider of among other things, mobile banking, personal loans, credit card and student loan refinancing. They are going to start with our no-integration product while they integrate our API into their systems. We expect rollout in Q1. As we look at expanding into other markets, one of the markets we have been targeting is college stadiums, with more colleges and university selling alcohol in their stadiums on game days, there is an increased focus on preventing under age access. And we are talking about more than football games, this trend is trending across a variety of sports that has brought greater focus on the continuing and growing use of its sophisticated safe IDs by minors. Recognizing this opportunity, we have been targeted an increasing number of college stadiums selling alcohol with good effect. We recently signed 2 major SEC schools who are pre-purchasing 20,000 transaction buckets that automatically refill when the balance gets low. The proposal's out to several other schools as we continue to grow our footprint in what we see as a very promising market. You noticed that I have been saying transaction buckets. As we discussed on the last call, we are having customers prepay for a specific amount of transactions they can use in a month or year. This has gone very well. Most new clients are being signed this way. All renewals are now under this model. And looking at renewals, I am pleased to report that we have continued to have a very sticky client base. As our clients' contracts come up for renewal, it's important to note that we are raising prices for each of those contracts. Our client acceptance of these double-digit price increases underscores the value our technology solutions continue to provide. Earlier in the year, I alluded to our plan to refocus our efforts involving channel partners to resell our products, and we are making strides in that area. First, we signed an agreement with one of the largest providers of inventory and point-of-sale systems for the cannabis industry. Integration is complete, and we have begun joint marketing efforts targeting their customers. We have also signed agreements with 2 major point-of-sale system providers to the hospitality industry to incorporate ID validation into their systems. Collectively, these 2 point-of-sale system providers represent over 2,400 bars and restaurants. Integration with both is now underway. In addition, we have signed an agreement with a company that sells in omnichannel, multi-biometric platform to banks, marketplaces and health care systems to use our ID validation tools as part of their onboarding process. They have pre-purchased 250,000 transactions. We continue to work on other channel partners and resellers as part of our Intellicheck inside strategy that features -- in our technology solutions and then selling them through our partners. In a similar way, we signed deals where we are the reseller of additional validation tools in a similar manner to what we have done with biometrics. As part of the KYC process, many clients need to know about criminal backgrounds, so we have signed a deal with a company to sell access to criminal background data. Another significant development that opens up global opportunities revolves around the expansion of our validation capabilities beyond North America. We signed a deal with a company that will give us the capability to validate identity documents from over 200 countries. We will be sharing more details with you shortly, but what it comes down to is this. We believe our superior accuracy compared to what some view as our competition in North America, coupled with being on par with over 200 additional countries with less sophisticated forms of identification, gives us a distinctive competitive edge for clients that need international coverage, while at the same time, potentially expanding our footprint globally. Integration for both the background checks and international validation is underway, and we intend to update you with press releases when we are ready to launch in Q1. As I said earlier, this has been a very transformational year and to achieve this advancement has required additional investments in the business. We started by retooling the sales force. And by the prospects I see in our CRM, this is paying off. Looking ahead, we believe we should show notable growth in 2022. As you know, we also invested in creating a marketing department, and that also has paid off. We signed twice as many clients in Q3 from inbound leads as we did in Q2. While so far, most of these new agreements signed have been for smaller clients, given the number of these deals, the ACV or Annual Contract Value adds up. I can also say that lately, we have had inbound leads from ranking people at major financial institutions. So our brand and market awareness continues to grow. The stage for this major phase of transformation is what we are calling Platform 2.0. Historically, we did only one thing, and we believe we did it far better than anyone else, and that is validating North American IDs, drivers licenses and military IDs. Unfortunately, our back-end was lacking the level of flexibility needed to become more of a powerhouse within identity validation and digital identity. For example, what we formally called Age ID was a separate platform from what we call Retail ID. This level of complexity didn't make a lot of sense as they both did the same thing, validate the ID. The only difference was what we return to the client and how they wanted to consume the services, a handheld device or a direct integration. It also made it difficult to quickly incorporate new features that clients want to utilize as part of their KYC process. Remember, to open an account, I may be who I say I am, but there are other things you might want to know about me to evaluate the risk of doing business with me. Depending on the nature of your business, other essential questions you may need to answer include, Am I a politically exposed person, am I a special interest person, am I a relative or close associate of any of those people, are there any sanctions against me or have I committed a crime? These are important data points to know that we need to offer to fully support many of the markets we are attacking. With 2.0, we can easily integrate new risk signals into the platform. And while doing so, we are able to make it very easy for our clients to pick and choose off of a menu based on their needs, enabling them to select additional risk and identity services, they would like us to provide them. I am excited by where all of these developments are taking us. We truly believe we have effectively moved the company forward to become a future ready, on demand, global platform by allowing our clients a more flexible, refined solution for validating any ID in both physical and digital use cases with the additional risk signals of their choice. All of that, while continuing to distinguish ourselves in the industry by providing what no else can with near-perfect certainty. We believe we continue to be a leader in authenticating a government issued ID as the first critical step in combating identity fraud, keeping age control products out of the hands of the underaged and increasing police officer effectiveness and safety. In closing, early in my tenure, I told you that I was excited by the prospects that I believe the future held. My feelings have not changed. I remain excited and energized by the opportunities, I believe, lie ahead and what I believe is a bright future for this innovative company. I will now turn the call over to Bill to go over our financial results for the quarter.
Billy White: Thank you, Bryan, and a good day to our shareholders, guests and listeners. I would like to discuss some of the financial information that was contained in our press release for the third quarter ended September 30, 2021. I will begin with the third quarter results. Quarter-over-quarter SaaS revenue grew 32% to $3,245,000 versus $2,451,000 in the prior year. Total revenue for the third quarter ended September 2021 increased 79% to $4,831,000 compared to $2,699,000 million in the prior year comparable period. Gross profit as a percentage of revenue was 68.7% for the quarter ended September 30, 2021, compared to 89.1% for the quarter ended September 30, 2020. During the quarter, the company sold scanning equipment to a bank that is continuing to roll out our software to their bank branches, which are normally sold at lower margins. Excluding the sale of hardware in both periods, on a pro forma basis, gross profit as a percentage of revenue was 93% for the quarter ended September 30, 2021, compared to 92.6% for the quarter ended September 30, 2020. Operating expenses that consist of selling, general and administrative and research and development expenses increased by 79.5% or $1,892,000 to 4,272,000 for the quarter ended September 30, 2021, versus $2,380,000 for the quarter ended September 30, 2020. The increase is primarily due to higher stock-based compensation costs, increased headcount and related accrued incentives, along with expanded marketing costs. The company posted a net loss of $952,000 for the 3 months ended September 30, 2021, compared to a net income of $32,000 for the quarter ended September 30, 2020. The net loss per diluted share was $0.05 versus a net income per diluted share of 0 in the prior period. Adjusted EBITDA for the quarter ended September 30, 2021, was a negative $271,000 compared to a positive adjusted EBITDA of $169,000 in the September 30, 2020 quarter. Interest and other income expense were negligible for the quarters ended both September 30, 2021 and 2020. Now I would like to focus on the company's liquidity and capital resources. As of September 30, 2021, the company had cash of $13.3 million, working capital defined as current assets minus current liabilities of $12.9 million, total assets of $25.9 million and stockholders' equity of $21.8 million. During the 9-months ended September 30, 2021, the company gained net cash of $145,000 compared to a net cash provided of $9.5 million during the 9-months ended September 30, 2020. Net cash provided by operating activities was $407,000 for the 9-month period ended September 30, 2021, compared to a net cash used of $311,000 for the same period in 2020. Net cash used in investing activities was a negative $339,000 for the first 9-months of 2021 compared to a net cash used of negative $408,000 for the 9-month period ended September 30, 2020, and we generated $76,000 from financing activities for the 9-months ending September 30, 2021, compared to $10.2 million for the same period in 2020. The company has a $2 million revolving credit facility with Citibank that is secured by collateral accounts. There are no amounts outstanding under this facility. We currently anticipate that our available cash as well as expected cash from operations will be sufficient to meet our anticipated working capital and capital expenditure requirements for at least the next 12 months. As of December 31, 2020, the company had a net operating loss carry forward of approximately $17 million. I will now turn the call back over to the operator to take your questions. Operator?
Operator: [Operator Instructions]. Our first question is Mike Grondahl with Northland Securities.
Michael Grondahl: Yes, interesting developments kind of expanding up the platform a little bit. And maybe, Bryan, can you give a little bit more color on the prepay? Were you saying all new customers are prepaying? I guess I would just like a little bit more color there. And then maybe, Bill, if you could kind of mention what's the outlook for hardware sales? Is there anything to call out the next couple of quarters that you may be expecting?
Bryan Lewis: Mike, so it's Bryan. I will start. So yes, the model that people are doing is they are buying buckets of transactions. And it just makes it easier for us to get a handle on what we expect things to be. So instead of last -- what we used to do is, you pay a small minimum and then you are going to pay us every month based on what you have use. Now we know we have learned that people have a pretty good idea of how much they are going to use. So let us just enter into a contract where you are going to sign up for this amount if you go over, we will charge you for. But for the most part, people are either buying a bucket that they are going to -- they think will cover a period of time. And if they use that bucket up, just they re-roll their contract. So it's a much simpler way for us to track what our clients are doing with more certainty.
Michael Grondahl: And do you have a rough guess of the percent of revenue that's under that model?
Bryan Lewis: Right now, I would say that certainly, #4 went to that model. We will be moving #3 to that when they come up for their renewal. #2, I think, is also up for renewal later on in that year. But right now, it's anybody that we have signed for the most part, that's been not major banks yet, but it's a model that they all seem comfortable with. We had really no issues when we were renegotiating with 4 to do it. And so we are doing it with everything from the corner bar all the way up to major banks.
Michael Grondahl: Yes, it seems smart. And you got the functionality to kind of dictate that?
Bryan Lewis: Yes.
Billy White: And as far as the hardware sales, we don't have any figure on the horizon here that we know about at this point.
Bryan Lewis: Yes. And Mike, remember, we do hardware only as an accommodation. It's not the line of business we want to be in. It's not like the salespeople make really any money off of it. It's -- if it helps us get the deal done because we might have a better way to get the hardware to get them started. We do it, but we are not actively out selling hardware.
Billy White: Right.
Michael Grondahl: Got it. Yes. No, I understood. I just wanted to -- you had a couple of quarters there with hardware, and I just wanted to make sure most of it was done and if we should be thinking about it, modeling it going forward. So I got it.
Operator: I will move next to Scott Buck with H.C. Wainwright.
Scott Buck: Bryan, can you provide a little bit of color on the competitive environment. Once you get out of your kind of legacy credit card vertical and get into some of these, whether it's cannabis or gambling or any of these others that you listed, whether the environment is meaningfully different from a competitive standpoint?
Bryan Lewis: Well, I think one of the things I would say is that depending on how they are doing it. And honestly, what I will say is what they want to do. Do they really want to catch the people or not. And I think that's what changes in that because some of these markets, you could say, well, the loss might be a fine if I am selling -- letting somebody gamble on a platform where maybe I check the box that I make sure they are of age, but I don't know. But what we are finding is that the same things that win in identity theft, we are making sure that you are -- should -- you are not in a casino gambling that you should not be in. People want to know that they are catching the people and efficacy wins.  So that's why I think we are seeing some wins in casinos and other areas is that they want to do the right thing because at the end of the day, the loss could be really big to them. If they lose their liquor license and they are pretty strict on it in casinos, I am going to the casino down the street where I can get a drink. So they are looking at it as more than just the one-off line of getting -- selling to a minor as to the overall big picture. So I think that we had some major competitive advantages in the traditional business in that no new hardware, same type of thing plays into this world. But I think because we are coming into it a little bit later, when we first started wanting to own the banks and have real reference clients. Here, we are seeing more where we might be looking at somebody who's already in place and we are doing replacement. But the smart clients, want prospects, want to do the right thing and want the most accurate system. So I think we still win there.
Scott Buck: All right. That's very helpful. And second one Bryan, can you help us understand how you guys think internally about the balance between investing in growth and maybe generating positive EBITDA or showing some operating leverage in the model to appease some investors?
Bryan Lewis: The way that I look at it is we are not, and we have been pretty frugal in how we have spent. We certainly added headcount this year, which I think was necessary. Mostly sales, marketing and then also some development so we could get things like 2.0 out there, Platform 2.0. I don't see us needing a ton more than we currently have. Obviously, I am always going to be looking -- I think I have said this multiple times, some really good salespeople because they pay for themselves. So that is something that we should add, especially as now that I look at what we have brought to our system and the platform, we have a lot more markets. I am going to need some salespeople to get into that -- those places very quickly. But I think that we have got a lot of leverage in the model. We don't need to spend a ton more money on the advertising and people other than sales. So I think it will end up coming out through growth that we are doing well.
Scott Buck: All right. That's great. And then last one for me. I imagine you have even better visibility under the new pricing structure. Are we approaching somewhere where you guys might start to feel comfortable providing some guidance?
Bryan Lewis: Yes. It's a question we get all the time. It's something that is discussed at the Board level. So I would say that remains to be seen.
Operator: We will go next to Jeff Van Rhee at Craig-Hallum.
Jeff Van Rhee: On the implementation, I guess two questions. How many implementations are in the quarter? I think you coming into the quarter, you had $40 million in the backlog. So I guess, just one, how many implementations? And then any other quantification of the increase in value pipeline?
Bryan Lewis: I think we did -- implementation slowed down in the quarter. I think we only did about $6 million. Correct me if I am wrong on that, Bill -- Yes, that's right. Some things that our clients were looking at got pushed out. So not canceled or anything like that, but moved further out. Sometimes, unfortunately, we are always ready. The other side of the equation is not. I look at the pipeline. And one thing I really try and shy away from is putting a dollar of value on a pipeline because you can really -- in my mind, screw yourself up doing that because at the end of the day, it becomes pretty binary.  And if I have got a salesperson saying, &quot;Oh, this is going to be a $1 million account, and they could be, but they don't come in&quot; What I will say about the pipeline is that I look at it on strength based on who are the client types that we are talking to, have we had -- traditionally have we won in that space, are we having conversations at the right level because the salesperson could go all excited about talking to somebody, but they are junior, and they really haven't gotten their way in there yet. So the quality of the prospect, the quality of the people that we are talking to and are we making headway in new markets. And I would say that the answer to that, all 3 questions is plus, plus, plus. I am happy with how each of those were. So I think that the investments that we made in the sales team, they are good people. They are doing the right job. As these sales are not short-cycle sales, selling to a bar is short cycle, getting the buy-in of a major financial institution, certainly not short cycle. But the road marks that we have to see if the sale is moving along the way that we should, all are positive.
Jeff Van Rhee: Was there a commonality in terms of the customers as to why they slowed or pushed out on the implementation?
Bryan Lewis: No, I wouldn't -- I would say it really was 2 major clients that just had just some internal issues going on their dev ran into roadblocks or got issues that they had, nothing that I am concerned about. The business sponsors behind all of it are pushing very, very hard to get things as soon as possible. The good thing is some of these things are not issues related to any sort of point-of-sale shutdown development for the holiday season. So from my end, sometimes things happen in IT, happens to us sometimes. So it's unfortunate. I wasn't very happy about it, out of our control, but it's not a cancel. It's just a delay.
Jeff Van Rhee: I think the commentary following Q2 were the headcounts were down roughly 10% from pre-COVID. How did it look for Q3?
Bryan Lewis: I didn't -- yes, how did we look on that? Unfortunately, I was running all the numbers, and that's when I did it in Q3 because it was really looking at how have -- how did we track quarter-to-quarter to look at things? And again, the way I was looking at it is by our major clients, and that's where I saw that there was certainly a distinct difference between the type of retailer. And again, apparel is down, electronics and appliances were up as were banking transactions. And I think the other thing that was really interesting number to look at is the Q3 digital transactions over the year, they were 34% over Q1. So I think it shows that our push into the digital world is working. But a mix. It was a real blend. I don't know if COVID, the Delta variant slowed people down going into certain stores, but not others. But again, I am hoping that as we just finally continue to get back to a normal world, we go back to completely pre-pandemic levels. I just don't think we are there yet.
Jeff Van Rhee: Last for me, if I could, in terms of the store reps, I think you had some comments you have actually been adding to capacity. What -- I think last quarter, you commented that their time to productivity was running in line and in many cases, and overall, on average, is -- ahead of expectations. What are you seeing this quarter with respect to the latest cohort and the pace of ramp to productivity for the rest?
Bryan Lewis: I think that by and large, they are doing quite well. I think we have added another one since we spoke. So I think we were at 10% before. Now we are at 11%. We have got some interesting candidates that we are looking at. So I look at our target-rich environment out there and say, you guys are overworked, you will do better off if we get more and start to focus on, you are going to sell into this market and you are into this market. Right now, I think what's kind of tough with the size that we have, you got to kind of jump from the language of this industry to the language of that industry to the next one. And I think it's better off to maybe have people who specialize in the language of each industry because you have way more credibility even on that initial cold call. So we will be expanding again as we feel that particularly Bruce feels that he's got the training bandwidth to make sure that they ramp up quickly. So far, I would say it's working, and we are just going to continue to push the envelope and bring people in as we find the right people and Bruce is ready for them.
Operator: I will take our next question from Rudy Kessinger, D.A. Davidson.
Rudy Kessinger: I want to go back to kind of the commentary on the different types of retailers. I guess, Q3 SaaS revenue being essentially flat with Q2 and the apparel companies being down about 7% to 10% sequentially. Just what percentage of either total scan loans or revenue or the number of retailers that you have out there are apparel versus the rest?
Bryan Lewis: They are there by a larger part, for sure. They are -- I am going to say --in the majority or -- yes. I'm going to guess, Bill correct me, but I am just thinking about overall transaction volumes, they are probably the majority.
Rudy Kessinger: Okay. Got it. That's helpful. With customer #3, when did that price increase go through -- it got through in the quarter or after the quarter? And with then maybe changing to the new kind of purchase the volumes ahead of time, did that maybe limit kind of the impact it might have had in the quarter? Just some more color there would be great.
Bryan Lewis: No, because -- so it happens in the quarter. So the effect of it wasn't there in the full quarter. And since it's -- they basically have bought a bucket of transactions, we bill as they go. So it's just a guarantee on what they are going to do as opposed to the old pricing mode it was. The only thing that guaranteed was kind of a minimum of a hardware. Now they are guaranteeing what they think they are going to do in volume. So -- and we are billing as they go. And as I said, and it was #4 who put this on. They thought it was going to last for the full year. It certainly appears as there's no way that's going to happen, and they will have to re-up, which means if they are smart, they buy a larger bucket.
Rudy Kessinger: And that was going to be my next question. I mean with them and both some of the -- the call stadium, some of your other new customers that you have signed, typically, are people buying what they estimate will be about a year's worth of transactions or shorter or longer?
Bryan Lewis: It depends. I would say that there's a mix of it because we will give you, if you want to guarantee, we will give you a better deal, the longer that you want to guarantee, we might discount a little bit more, not at time because I hate that word, but it's -- there's a benefit to them for prepaying for a longer period of time.
Rudy Kessinger: And then just lastly, as I think about Platform 2.0-- sorry, Platform 2.0 and some of these new capabilities, doing the global ID stuff like that, where is all that stuff in terms of being generally available?
Bryan Lewis: We assume that we are going to -- most of this will launch for full production launch, we are looking in Q1. As I said, we have beta clients. I think we have got around 10 of our existing clients who want to test it with us, go beta on it. So there's certainly interest in the Platform.
Operator: We have no other questions holding, I would like to turn the conference back to Mr. Lewis for any additional or closing comments.
Bryan Lewis: So I just want to thank everybody for dialing in. As I think you can see, we are a quite different company than we were at the start of the year. I believe that the transformation and our new platform opens up new markets to us and plenty of opportunities for the company as a whole. And I just want to say I look forward working with the team to make great things happen. So thank you very much, and enjoy the rest of your evening.
Operator: Ladies and gentlemen, that will conclude today's call. We thank you for your participation. You may disconnect at this time, and have a great day.